Operator: Good afternoon, ladies and gentlemen, and welcome to the Enbridge Inc. 2013 Guidance Conference Call. I would now like to turn the meeting over to Jody Balko, Vice President, Investor Relations and Enterprise Risk.
Jody L. Balko: Thank you. Good afternoon, and welcome to the Enbridge Inc.'s 2013 Guidance Call. With me this afternoon are Al Monaco, President and Chief Executive Officer; Richard Bird, Executive Vice President, Chief Financial Officer and Corporate Development; Steve Wuori, President of Liquids Pipelines; and John Whalen, Senior Vice President and Controller. This call is webcast, and I encourage those listening on the phone lines to view the supporting slides which are available on our website. A replay and podcast of the call will be available later today, and a transcript will be posted to our website shortly thereafter. The Q&A format will be the same as always. We'll take questions from the analyst community first, and then invite questions from the media. [Operator Instructions]. Lastly, I would also remind you that Jonathan Gould and I will be available after the call for any follow-up questions that you may have. Before we begin, I'd like to point out that we may refer to forward-looking information during the call. By its nature, this information applies certain assumptions and expectations about future outcomes, so we remind you it is subject to the risks and uncertainties affecting every business, including ours. This slide includes a summary of the more significant factors and risks that might affect future outcomes for Enbridge, which are also discussed more fully in our public disclosure filings available on both the SEDAR and EDGAR systems. With that, I will now turn the call over to Al Monaco.
Al Monaco: Thanks, Jody, and good afternoon, everyone. First of all, let me apologize for what appears to be a late cross of the news release items that we had. I'm not sure what happened there, but we'll hopefully make sure that, that doesn't happen again. Today, though, we're very pleased to provide the highlights of 3 positive items that reflect the strong outlook we have for Enbridge. These are an increase in the quarterly dividend, our 2003 earnings guidance picture and a significant development on our crude oil market access strategies. That is, of course, that we are proceeding with the $6.2 billion Light Oil Market Access Program, which I'm going to come back to in a few minutes. We've also had 2 other announcements in the last month that I'll recap this afternoon to give the fuller picture of what's been happening here. All in all, 2012 is shaping up to be a very strong year on a number of fronts, including some $14 billion in new secured capital investments that will drive earnings growth for years to come. Earlier today -- I'm now onto Slide 4. Earlier today, our Board of Directors approved an increase in the quarterly dividend to $1.26 per share, which equates to an annualized increase of just under 12% for 2013. This increase reflects management's and the board's confidence in both our near-term and medium-term outlook in our ability to grow earnings and cash flow. As shown on the chart that you have, we continue the string of strong dividend growth, which illustrates the predictability of our financial performance and the strength of the business model. Based on the $1.26 per share dividend in our earnings expectations for the next year, our dividend payout ratio is consistent with 2012 and remains near the top end of our payout range policy of between 60% to 70% of earnings. Onto the next slide, you can see we have our 2013 EPS guidance range relative to our 2012 guidance and 2011 actual results. As you see, we expect EPS to be in the range of $1.74 to $1.90 per share. The midpoint of that range would generate a 2-year annual growth rate of just under 12%, which are the first 2 years of our 5-year plan. So if we can achieve that, it would represent another strong industry-leading year for EPS growth in 2013. Now this is particularly notable in that 2013 will be a very large capital spend year, and we won't see the earnings contribution for many of the large projects currently under construction until 2014 and beyond. Richard's going to provide some details on our expectations for 2013 in a few minutes. Let me now spend a few moments on recent Liquids Pipelines activity, beginning with the Edmonton to Hardisty mainline expansion. Now this will be a 36-inch line that will tie into our Alberta Clipper line at Hardisty and be capable of moving up to 800,000 barrels per day. The initial capacity will be 570,000. This is a very important outcome in that the expansion will provide much needed capacity required by industry. Significant production growth is expected in Western Canada, and a lot of that crude is destined for Edmonton. So adding this capacity between Edmonton and Hardisty is going to meet the demand that is expected in Edmonton and the patterns that we'll see between Edmonton and Hardisty. We expect to have that project ready for service as early as mid-2015, and the line will be built within existing right of way. As you saw earlier today, we're moving forward with the $6.2 billion Light Oil Market Access Program, and we did provide a glimpse of that at Enbridge Day in early October. This is a collection of projects which together will serve to connect growing light oil supplies from the Bakken play in North Dakota and from Western Canada through premium refinery markets in the U.S. Midwest and Eastern Canada. This is the largest yet of a market access program so far, exceeding even the $5.8 billion capital for the Gulf Coast Access program. Return profiles are similar, so it will be a strong contributor to our earnings growth outlook in the second half of the decade. Now this program was included in our 2012 strategic plan on a 100% basis, so it's fully provided for in the funding plan that we presented at Enbridge Day. However, as important as this program is financially, it's even more important strategically for us and provides significant benefits for our shippers. It will ensure that most of the light oil production in our attachment area has an attractively priced pipeline connected destination market which can be accessed at favorable cost and on a timely basis. A good example and part of this program that we're announcing today is the Southern Access Extension. This is a new pipeline connection from Flanagan, which is the terminals of our Southern Access line, to the Patoka hub. As you know, we have been developing this concept for a while, and we're pleased today to have firm commercial underpinning to a long-term capacity agreement with an anchor shipper, and that's going to allow us to proceed with the project. Access in the Patoka hub is critical for our shippers because Patoka provides a launching point to move light crude to Eastern PADD II, where there is significant light oil refining capability. Just as a final point on this Light Oil Market Access Program, it's also intended to meet all of the needs of the Québec refineries. And to be clear, this program does not involve moving any crude through Québec to markets on the East Coast of Canada or the U.S. We have other plans for serving those markets. And speaking of other plans to serve East Coast markets, here is the first of those, our Eddystone Rail Terminal joint venture. We don't think pipelines are always the best solution to every markets all the time, and the East Coast is a case in point. And Eddystone Rail JV we have there is an example of an alternative logistical solution that we're developing to serve East Coast refinery demand. Our objective is to secure commitments of at least 80,000 barrels per day of rail offloading at the terminal, in which several refineries can be supplied by local pipeline or barge, including the East Coast of Canada. We anticipate that most of this volume will originate from our rail loading facility at Berthhold, North Dakota, which we explained before, though we are also looking at other potential pipe-to-rail sites on our pipeline system. The Eddystone facility can be expanded to 160,000 barrels per day, but we don't think even that will be sufficient to meet the demand. So it is only one facet of the broader East Coast market access program we're developing. So just to wrap up now, let me put these recent announcements in the context of our overall capital program and outlook. We came into the year with $12 billion of commercially secured projects in execution. During the first 3 quarters, as you see, we steadily added to this portfolio, reaching $18 billion by our Enbridge Day investor conference in early October. As you can see here, the fourth quarter has eclipsed the first 3, with a further $8 billion of secured projects that we just went through. This brings our enterprise-wide commercially secured total to $26 billion of capital to be invested from 2012 to 2016. So just to pause and reiterate, commercially secured projects of $26 billion, these are new and attractive projects. And the point being that we now have a great deal of confidence that we'll be able to continue to deliver very strong earnings over the 5-year plan, but also that into the latter half of the decade and beyond. As we indicated on Enbridge Day, our total potential inventory of projects out to 2016 is $35 billion, and you see that captured on this slide. So with these fourth quarter projects now, we've essentially shifted $8 billion from the highly probable category to commercially secured. That now leaves just $4 billion left to go in the highly probable category. And let me remind you that on the $5 billion of risked unsecured capital that you see there, while we have accounted for the financing part of that, we don't assume any cash flow until after 2016. So in terms of the growth capital, which supports our long-term EPS growth outlook to 2016, a good chunk of it is on hand. What you see here is a massive program by any measure, and that's exactly why we're focused on execution, specifically on the financial and human resources to get this project done. We feel confident in our major project's capability and are ahead of the curve in financing, and Rich is going to bring you up to date on that as well. I'll conclude with a recap of the financial outlook, which is represented by the chart we showed at Enbridge Day. Our progress since Enbridge Day certainly reinforces our confidence in not only achieving a 10% annual growth rate, but also the potential to achieve a 12% plus average growth rate in EPS through 2016. And given the commercial model that supports these investments, it also reinforces confidence that we'll be successful in extending an industry-leading growth rate well into the second half of the decade. All the factors we've previously identified that would drive growth beyond 2016 are still in play, and they're outlined on the slide there, including a further addition to our stable -- tilted return growth investments. So with that, let me turn it over to Richard to expand on that and provide some further granularity on the earnings guidance.
J. Richard Bird: Thanks, Al, and good afternoon, everyone. I'll start with a little more color on the earnings growth guidance. And once again, the main engine of the growth is our Liquids Pipelines segment, with significant uplift coming from the mainline from Regional Oil Sands System and from the Seaway Pipeline. The mainline earnings will continue to be driven by volume growth, and we do continue to see strong Western Canada supply growth recovering from the third quarter dip due to -- which was due to plant turnarounds and then in addition picking up new supply, as Kearl comes onstream and along with various other sources of supply growth in 2013. We won't be able to take full advantage of this in either the fourth quarter of this year or the first quarter of next year due to the effect that pressure restrictions and maintenance associated with our operational risk management plan are having on our effective capacity. We should be through the brunt of this by the second quarter, with strong throughput numbers thereafter. The Regional Oil Sands System will benefit from a full year of earnings on the Wood Buffalo Pipeline and the Waupisoo Pipeline expansion, as well as increased Athabasca volumes flowing from Christina Lake in the second quarter startup of our Suncor bitumen blend project. The Seaway Pipeline will benefit from the combined effect of a full year of operations and the expansion from 150,000 barrels per day to 400,000 barrels per day in the first quarter of next year. Our Gas Distribution segment as a whole will see another flat year. Enbridge Gas Distribution itself will be in on a cost-of-service year in 2013 with a very modest improvement in earnings, but that's offset by a further decline in the contribution from Enbridge Gas New Brunswick from the full year effect of the economic excorporation by the provincial government. Our Gas Pipelines, Processing and Energy Services segment will experience a decline in earnings in 2013. This is largely lower earnings from Aux Sable, as increased volumes won't be enough to offset lower fractionation margins as our 2012 hedge position comes to an end. Green energy will also be down a little due to the assets transferred to Enbridge Income Fund. Sponsored Investments will contribute to growth in 2013. Some of this comes from the Liquids Pipelines component, Enbridge Energy Partners, but most of it comes from the assets transferred into the income fund. Our Corporate segment, of course, is a cost center on a net basis and a somewhat higher cost center in 2013 and in 2012. And this largely reflects our use of preferred share issuance to cover our equity funding requirements. So although a healthy boost to earnings and EPS for 2013, especially that's the case considering that we'll be carrying a record-high level of work in progress capital investment which won't be making a cash flow contribution until later years. Moving to Slide 13. The fourth quarter has been another very active one on the funding and liquidity front in support of our growth plan. We bolstered both our equity base and our debt balances, as well as adding significant further bank credit capacity, which is now over $12 billion of bank credit capacity and something we're continuing to expand. So for the year as a whole, over $6 billion worth of capital markets funding in addition to very significant additions to our liquidity. Our overall funding plan for the $35 billion capital program hasn't changed since I reviewed it at Enbridge Day other than that we continue to progress on schedule with its implementation. And I'll wrap up with an update on our project returns and profiles picture on Slide 14. And this was a perspective that I covered at Enbridge Day to explain that many of our projects no longer follow the conventional cost of service flat return profile which has an annual return in every year, which approximates the full life DCF return. That was once the case for most of our projects and no longer the case anymore. A number of our projects now have commercial terms which produced a tilted return profile, where the first full year return is below the full life return. And it takes a few years to climb up to and then eventually exceed the full life return. This is one of the factors contributing strong momentum to our earnings growth in the second half of the decade once these projects have been in service for a few years. The 2 most pronounced examples of this that I gave at Enbridge Day were our Eastern Access and U.S. Gulf Coast Access projects, the first 2 rows in the table. Both of these will generate a DCF return on equity in the low double digits over their economic lifetime, but they won't reach that level on an annual basis until 4 and 5 years, respectively, following the first full year in service. And that, of course, is driving growth right through the second half of the decade. Of the 2 recently announced large projects that Al discussed, the Edmonton to Hardisty expansion, the smaller of the 2, actually has a return profile similar to the conventional cost of service model, achieving its low double-digit, full life return right out of the gate or at least the bottom end of that return, but no further contribution to growth following that first year bump to any appreciable degree. It's not a perfectly flat return profile, but it's much flatter than the other projects listed on the schedule. On the other hand, the $2.8 billion at Enbridge we'll invest in the Light Oil Market Access Program, will have a similar return profile to the 2 earlier market access programs. And that's the last row on that chart. So that's all for me. So now, we'll open the lines for questions. Operator?
Operator: [Operator Instructions] And our first question is coming from the line of Linda Ezergailis, TD Securities.
Linda Ezergailis - TD Securities Equity Research: Congratulations on this new project announcement.
Al Monaco: Thank you, Linda.
Linda Ezergailis - TD Securities Equity Research: I have a question with respect to your Slide 10. I'm wondering if you could break down the $26 billion of commercially secured projects by year, from 2012 to 2016, to help us with our modeling?
Al Monaco: Well, we'll certainly commit to do that. Maybe we could catch you offline. It's not something we have right here at our fingertips, if that's okay. Can we do that after?
Linda Ezergailis - TD Securities Equity Research: If we could do that today, that would be great. And then, I guess implicit in that will be embedded this $2.8 billion announcement. Can I have a follow-up question or should I move back in the queue?
Al Monaco: Sure, go ahead.
Linda Ezergailis - TD Securities Equity Research: Okay. So can you just explain to us the main driver of the range in your guidance? Is it mostly volumes on the mainline, and to a lesser extent, commodity prices as it might affect your marketing and Aux Sable businesses?
Al Monaco: Yes. I would say it's by far the biggest item as we noted on one of the slides there, certainly the Liquids Pipelines business, which is driven by volumes and of course, new facilities coming into service, particularly on the regional side, oil sands side, as well as on Seaway. So I'd say it's volumes, Seaway and then regional projects coming into service.
Operator: Your next question is coming from the line of Ted Durbin, Goldman Sachs.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Trying to understand this -- again, this return profile and how it's tilted. And maybe one way I can ask it is, how much are these returns dependent on the pull-through onto the mainline and in the CTS or maybe to say it again, how would the project returns look if they were just standalone and you didn't have the CTS pull-through?
Al Monaco: Richard is going to take that.
J. Richard Bird: Yes, it's Richard. I don't really know how they've looked in that situation, Ted, because we've never modeled in that way. We've always modeled them, I guess, as true to reality as we can, which is what's the all-in effect of spending that capital pulls on the pull-through downstream systems, incremental mainline capital required to support the throughput on those downstream systems and incremental revenue associated with the volumes that move on the mainline systems. So we haven't really disaggregated it with the way that you've described it.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Yes. I guess I'm just wondering if you have the Bakken for whatever reason, it's going to back up some of the stuff coming out of Western Canada. Have you thought about that sort of knockout effect? Or is that not even an issue in your mind?
J. Richard Bird: Generally, anytime we do our modeling we're looking at what the capacity of the system is, what the sources of supply in their origin points and destination points are and making sure that any incremental volume benefits that we play out on the mainline are consistent with that physical configuration.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Got it, okay. And then if I can just ask about -- a follow-up on the execution piece, which was obviously important here. I'm wondering how you're going to manage the labor costs, particularly in the Bakken obviously has been pretty active there. Just kind of what's your plan there for making sure you hit your cost and your timing objectives?
Stephen John Wuori: Ted, it's Steve Wuori. Our major projects group, of course, has been active in the Bakken with the Bakken Expansion Program, Bakken Access Program and the Berthhold Rail. And I think we have some pretty deep contractor relationships there and actually all the way along the mainline. And so we are leveraging those to the full extent that we can in terms of the year-round work that we're able to give contractors and therefore, more stability in their rates and pricing.
Al Monaco: You're still right though, Ted. I mean, there's obviously some uncertainty about these. I think the key to this, though, is in the cost estimation process. Obviously, we've got some good experience there with previous projects, but also a fairly robust methodology for determining contingencies. So yes, we've got some risk there, but we've got some good processes and experience too.
Operator: Your next question is coming from the line of Matthew Akman, Scotiabank.
Matthew Akman - Scotiabank Global Banking and Markets, Research Division: I just have one question on the earnings guidance and then a question on the growth initiative that you announced. Richard, on earnings guidance, you talked about some volume drag from some integrity work you're doing on the mainline, especially in Q1. I'm just wondering if you could quantify roughly the volume impact of that.
J. Richard Bird: I can't do that, Matthew, and we're not really going to get into sort of quarterly granularity. But we will -- the way we're seeing supply come back, we won't be able to take full advantage of that either even in the fourth quarter of this year or in the first quarter of next year.
Matthew Akman - Scotiabank Global Banking and Markets, Research Division: Okay. Moving to the expansion project, I guess $2.8 billion of it is at Enbridge and $3.4 billion is it EEP, is that correct?
J. Richard Bird: Yes.
Matthew Akman - Scotiabank Global Banking and Markets, Research Division: I'm just wondering lately the rating agencies have been a little bit nervous at EEP about the capital spend. I'm just wondering how your conversations have been going with them. And I guess have you talked to them about this project or has EEP talked to them about this project?
J. Richard Bird: Yes, absolutely. This project is fully reflected in the discussions that we've had with them in the capital and cash flow projections that we've had with them. And so our current agency ratings, I think, fully reflect this project. And yes, it does impose a significant financing requirement on the partnership, but it's financing a pretty attractive return of very stable capital. And if anything, the rating agencies like the shift in the business mix that results from this further investment in the mainline system.
Al Monaco: And of course, Matt, I'll just add another point. Obviously, we've geared the I guess sharing of the investment between EEP and Enbridge based on our thoughts around EEP's financing capacity. But as we've noted, EEP does have an ability to pare down and then claw back as well. So they have a bit of flexibility there.
Operator: Your next question is coming from the line of Andrew Kuske, Credit Suisse.
Andrew M. Kuske - Crédit Suisse AG, Research Division: Just on the rail, how big do you think that business could be for you from a capital allocation basis if we look out over the next, say, 5 years or so?
J. Richard Bird: You take the first one.
Al Monaco: I'll take the first one, then maybe Steve can add. As far as the rail loading and unloading facilities, I think that the capital allocation there is probably not large. I think the more important aspect of it is that rail is complementary to us in that it can effectively extend the mainline and other lines to premium markets that we can't reach yet by pipeline. So I think that's more of the strategic benefit there, Andrew, and that it pulls through volumes on the mainline. I think that's the biggest factor. Steve, do you have anything to add there?
Stephen John Wuori: Yes, I think that's right, Al. And if you look at the capital, it tends to be in the high 10s, very low hundreds of millions of dollars for loading or unloading facilities for unit trades. And so it really is the effect of volumes being able frankly to offer the service to the customers that are very desperate to get to better markets that really is what the rail move is all about as opposed to very large capital.
Andrew M. Kuske - Crédit Suisse AG, Research Division: Do you really see this business as really being the stopgap measure for the time being, and then getting a better sense on who the players are, where a lot of the volumes are going, and then that gives you a better insight to where the future pipeline moves might be?
Al Monaco: Yes, I think it is the stopgap measure because based on where the prices are, regional prices or the basis between the key points, definitely, there's a yearning to get rail involved in moving volumes to markets that can't be met right now or at least not right away. And then markets, for example, like Philadelphia, as we've illustrated here, that pipelining is going to be tough to get to Philly. So I think it is a very good stopgap in the interim.
Andrew M. Kuske - Crédit Suisse AG, Research Division: And then if I may, just one slightly different question and it just relates to the tilt and the years to attain the full life ROE. Really what's driving this, I can argue, is a little bit of an extension on the years. If we went back 10 years ago, you're earning very robust returns right out of the gate. They might not have tilted up over time, and then now a little bit returns that essentially lift the [indiscernible] and they tilt up probably dramatically. Is it the competition driving that or just [indiscernible] your shippers?
J. Richard Bird: Well, it's definitely the commercial -- this is Richard, Andrew. It's definitely the commercial terms that are driving it where these projects typically have escalating tolls where your conventional cost of service model, as your rate base depreciates away, have declining tools. We also, in a number of cases, have contracts which have growing contractual commitments over time, so the volume commitments increase as we go through time. And as to the why for that, I guess it did -- it's something that is attractive to the shippers and something that with the strong base earnings growth that we've already got the foundation of earnings growth that we've already got through the first 5 years, we concluded we could afford to be responsive to that shipper desire to have that kind of flexibility. So that's what's driving it.
Al Monaco: I guess, though, Andrew, in addition to that, I think Richard's covered a bit, what really gives us the comfort on the profile and the volume profile is the downstream take and the downstream commitments. And we've got downstream commitments on the mainline both -- or to the Gulf Coast. Now we have it into Patoka and of course, into Eastern Canada. So it's really those downstream pulls that give us confidence about the profile.
Operator: Your next question is coming from the line of David McColl, MorningStar.
David McColl - Morningstar Inc., Research Division: Just kind of zooming into 2013, I'm just wondering if we can get a little bit of an update on the Seaway Pipeline. Specifically, I'm wondering if -- or I guess I should say the timing to really ramp that up to full capacity, is it still something we'd see in early 2013? And just wondering if you can really try to pin that down a little bit more.
Al Monaco: Yes, what we can pin it down to is what we've said publicly, David, which is first quarter. I don't think we can be any more specific than that. But we -- let's put it this way, we have a pretty good degree of confidence in the first quarter.
David McColl - Morningstar Inc., Research Division: Okay, just to follow up, just for clarification. Is it going to move at 400,000 barrels pretty quickly in terms of hitting that in the first quarter or will it kind of ramp up over a couple of quarters?
Al Monaco: I think it's going to be pretty quick to capacity, will be available in the first quarter. And based on denominations that we're seeing in the supply that's moving in the cushion and available to move, my guess is it will be ramping up right away. Is that how you see it, Steve?
Stephen John Wuori: I do. Yes.
Al Monaco: You sound like, Steve, on how many barrels are nominating for the very small amount of spots based on currently existing.
Stephen John Wuori: Right. Well, I'm not sure this month. But generally, about 4 million barrels a day are nominated to systems like Seaway and Ozark. And so that just tells you that there is an intense desire to move out of Cushing.
Operator: Your next question is coming from the line of Robert Kwan, RBC Capital Markets.
Robert Kwan - RBC Capital Markets, LLC, Research Division: Just one question on the guidance and then on the light oil side. But with the Gas Pipelines, Processing and Energy Services, you presented at Investor Day that Cabin had a 2-year ramp, and I'm just wondering how steep is that ramp if you're thinking about just trying to book into '13 and then over that 2-year period?
J. Richard Bird: The ramp on pretty well all of these projects starts in mid- to high-single digits in the initial year of service. And then if it's 2 years, as it is in the case of Cabin, it's hitting its low double-digits full life rate of return within that period. So that gives you a feeling for the steepness of the ramp.
Robert Kwan - RBC Capital Markets, LLC, Research Division: Okay. I'm just -- but that, I guess, in and of itself, is not enough to offset what you're seeing in terms of the decline out of Aux Sable?
J. Richard Bird: No, it's not.
Robert Kwan - RBC Capital Markets, LLC, Research Division: Okay. Just turning to light oil side and the Sandpiper side there. I'm just wondering what you saw as why Sandpiper was successful versus, say, Bakken Express and was it really the road and toll structure?
Al Monaco: Well, that's probably a good one in that we have seen in the Bakken that producers [indiscernible] as apt to make long-term commitments for a number of reasons. But I think the real driver for this project is the fact that once you move in East and now with access into Flanigan and Patoka, you're really hitting the light oil markets, and then further East at Patoka. That's really the main driver as opposed to other markets like Cushing, for example, where you probably don't want to see more light barrel showing up there if you're a producer. So I'd say it's market destination-driven. Did you have a follow-up, Robert, or are we on to the next question. Hello? Is the operator there?
J. Richard Bird: We could hear papers in the background, so somebody must be able to hear us as well, so... [Technical Difficulty]
Al Monaco: Steve Paget, is that you?
Steven I. Paget - FirstEnergy Capital Corp., Research Division: All right. Can you hear me?
Al Monaco: Yes.
Steven I. Paget - FirstEnergy Capital Corp., Research Division: Excellent. And I'm very sorry. If ROEs on tilted return projects go up in the later years, is it possible that some shippers or potential shippers could go to the regulators and say -- and point out that returns have gone up? And -- or have shippers been able to defend this structure before the regulators?
J. Richard Bird: I could take a stab at that, I guess. These are contractually established returns. The implications of the commercial structure in those contracts is lower returns in the early years and higher returns in the later years. So could somebody do that? I wouldn't say we've never experienced a shipper trying to use the regulator to cut a better deal, but generally the regulators, in our experience, haven't been very receptive to that.
Al Monaco: I think especially true when you look at the makeup of the shippers on the Gulf Coast Access and Eastern Access projects. I suppose it's always a risk, like Richard says, but in this case, we've got some pretty notable shippers.
Steven I. Paget - FirstEnergy Capital Corp., Research Division: Well, that's good news. And follow-up question I have for Richard is -- or Steve maybe is, are shippers accepting this type of structure because cost of service would, of course, include interest costs. And those -- if -- as we keep hearing interest rates are going to go up, it is a matter of when. Are shippers concerned about interest rates and want to get away from an interest rate based -- or a service cost that would include the cost of interest rates?
Stephen John Wuori: It's Steve, Steven. I haven't heard that specifically. Maybe there are some shippers who have that in their mind as they look at the long-term trend of interest rate. I think they're much more interested in what it will cost them and therefore, how much of their balance sheet they'll need to reserve for getting their product to market. And so I think, therefore, these are negotiated terms, and it doesn't necessarily get into the kind of granularity that cost of service build up would. So I -- the short answer is I haven't heard anyone say that that's one overriding concern they have.
Al Monaco: And I guess this model does sort of align their toll payments with the volumes, which sort of ramps up with their production profile as opposed to maybe a pure cost of service, which would have higher tolls on the front end. That's another potential driver, I guess.
Steven I. Paget - FirstEnergy Capital Corp., Research Division: And probably the strongest, you're saying.
Al Monaco: That's how we would see it, but I guess there could be other reasons.
Operator: Your next question is from the line of Paul Lechem, CIBC.
Paul Lechem - CIBC World Markets Inc., Research Division: Just on the ROEs on these projects again, when you give your full life ROE estimates there, for instance, on the Edmonton to Hardisty expansion, does that contemplate the expansion in capacity from the 570 up to the 800, the ultimate capacity or is it just an initial amount? And if so, how -- or if it doesn't include the expansion, how should we think about the ROEs on the expansion to ultimate capacity?
Stephen John Wuori: Go ahead, Richard.
J. Richard Bird: Sure. So it's just based on the 570. And in terms of the returns on expansion of that, assuming that would occur within the period of our CTS agreement, which I think would be quite likely to, that would be the subject of a yet-to-be-had discussion with our mainline shippers as to how that would be remunerated. The capital costs would be relatively modest and would probably easily carry by [indiscernible] volumes [indiscernible] by that expansion. So we would be targeting -- there's a general framework under the CTS for incremental capital expenditures that depending on the risk that's being taken, they should generate a return on the equity component to the investment of between 11% and 15%. And so it's quite likely we would be within that range just based on the additional revenue from the volumes that would flow on expanded capacity.
Paul Lechem - CIBC World Markets Inc., Research Division: Right. I mean, more of a generic question on my part and that you have other pipelines such as the Athabasca Twin that have the similar kind of initial capacity and then an ultimate capacity. So I guess generically, would we expect higher ROEs on the expansion part of the project rather than the initial build-out?
J. Richard Bird: I think in the case of the mainline, it's going to be bounded by that 11% to 15% range. As a general rule, particularly when we move away from the mainline, I think where we've allowed incremental capacity, there's an opportunity to generate a higher return on the lower cost incremental capacity on those systems. I wouldn't say that's likely to be the case on the mainline.
Paul Lechem - CIBC World Markets Inc., Research Division: Fair enough. And then, Al, you seem to allude to further opportunities to -- for investment to build out your Eastern Access initiatives and then also beyond Patoka, potentially now that you guys are getting down there with the Southern Access Extension. So how do we think about those opportunities? And it's maybe ridiculous to ask this, given you've done and also the $6 billion, but is that included -- are those opportunities included in your current $4 billion of still highly probable but unsecured projects? And the risk on securities, is that still in there? And then timing-wise, how should we think about further potential announcements?
J. Richard Bird: Okay. Well, let me answer that last part first. They're not included in the highly probable category, but maybe let me just backup more generally. As far as the East Coast, we've got this beachhead now with the rail project into Philadelphia. There could be more opportunities, as I've said, for rail loading and offloading facilities that help us extend, effectively extend our system. But as far as the East Coast, we won't be getting any more granular than that at this point. As far as your question around what happens south of Patoka, I think we've indicated before, and Steve did it at Enbridge Day as well, that we do have some thoughts about moving further south and accessing the Eastern part of the U.S. Gulf Coast markets, which would be another great market for light crude especially. So that's all in the thinking in the projects that we're developing.
Stephen John Wuori: I think it's important to mention, too, that the project at Patoka Southern Access Extension doesn't rely on going beyond Patoka to the South. There are markets in Eastern PADD II that our served out of Patoka, that this project now gives access to the Bakken and Canadian light barrel through. So I think that's how we would look at Patoka. It's a good near-term opportunity with Southern Access Extension. It could lead to other opportunities further south later.
Operator: Your next question is coming from the line of John Edwards, Credit Suisse.
John D. Edwards - Morgan Keegan & Company, Inc., Research Division: Just -- it's John Edwards of Credit Suisse. Just on the -- just curious on the Sandpiper project, when you think construction would begin on that? I think you indicated it's going in service in 2016, that $2.5 billion about how it's going to phase in, I guess, in terms of that spending?
J. Richard Bird: Well, we have a petition for declaratory order in front of the FERC. Now that's going to take a little bit of time to work its way through and then with other permitting. The construction of that distance is probably 1 year, about 1 year to 1.33 years or 1.5 years in total. So you can back off from early '16 to -- we'll also be looking at what's best done in the winter months and what can be done effectively in the summer months. But I think you've probably looked at construction some time in late '14.
John D. Edwards - Morgan Keegan & Company, Inc., Research Division: Okay, great. And then just, if I may, just a couple of quick ones here. Just the Eddystone Rail Terminal, what's the contract durations on those? And I didn't see if you had broken out the capital spending for that and the in-service on those.
Al Monaco: The spending is $70 million, ultimately. But at this point, we're not going to get into the details of the commercial support here, as we're just working on that and finalizing. So there are no further details right now. I'm sorry about that, John.
John D. Edwards - Morgan Keegan & Company, Inc., Research Division: Okay. And then just the last one, with all these capital projects, any thoughts about if any of these projects would be dropped down into the partnership?
Al Monaco: Well, of course the funding arrangement here for a good chunk of this, the $3.4 billion will be spent by EEP, and Enbridge will have a piece of those. I suppose the Enbridge piece that we're investing in could potentially be dropped down at some point. We don't see that happening in the immediate term. So that's our view on that.
Operator: Your next question is from the line of Pierre Lacroix, Desjardins.
Pierre Lacroix - Desjardins Securities Inc., Research Division: Just a clarification on Slide #8. When you talk about Eddystone and the East Coast market access, you have arrows going all the way through St. John, basically. You don't have anything in terms of contract arrangement as of Eddystone related to St. John rail as of yet, right?
Al Monaco: That's correct. I think the arrows on this chart on the 8th are meant to be reflective of sort of the strategy and how we see the potential markets. There could be rail facilities, offloading facilities and loading facilities of various spots here. So really at this point, this is just more conceptual as far as we think -- what we think the best markets are to attack here.
Pierre Lacroix - Desjardins Securities Inc., Research Division: Okay, I understand. I don't know if you would be willing to comment a bit on why there's no arrow from Montréal to there, or is it too early to talk about it or?
Al Monaco: When you say to there, you mean New Brunswick?
Pierre Lacroix - Desjardins Securities Inc., Research Division: Yes, exactly.
Al Monaco: We do not have a project, and I think I clarified this in my comments. We do not have a project to New Brunswick. And that's why we've emphasized I think that our beachhead into the East Coast U.S. at Philly is where we're going, and that's what we're focused on right now.
Operator: Your next question is coming from the line of Juan Plessis, Canaccord Genuity.
Juan Plessis - Canaccord Genuity, Research Division: Congratulations on your announcements today. Richard, wondering if you might be able to share with us what CTS scale factor or scale factor range you're assuming in your earnings guidance for 2013?
J. Richard Bird: No change from our last update on that subject, so it looks like it's pretty stable. It will vary up and down by quarter. But where we left you guys, I guess it was at the end of the second quarter that we did an update on that. It's about what we figure is a reasonable number to use moving forward.
Operator: Your next question is coming from the line of Robert Kwan, RBC Capital Markets.
Robert Kwan - RBC Capital Markets, LLC, Research Division: Just -- the last thing I want to ask on Sandpiper was without having the long-term contracts, was that just a function of your work on how you think the Bakken volumes are going to flow? Or was there a greater comfort that with a relatively small extension north across the border, you're effectively backed up by Alberta's supply?
Al Monaco: Well let me take a stab at that, Robert. First of all, I think really, as we discussed before, the confidence we have here relates to obviously the supply push out of the Bakken in terms of the supply profile. And if you look at what the current capacity is in the Bakken and what our project would add, which is in the 225,000 barrel a day capacity range, we're not really in the upper edges of the production profile that we see. In fact, we're quite a bit a ways from a lot of estimates out there that are quite a bit higher than ours. So I guess what I'm saying is we're relatively conservative on the supply profile that we see out of the Bakken. Secondly, we've got a very competitive toll, we believe, to the key markets. And probably the third one is, once again, the destination is all important here. And obviously, the best-priced markets for this type of crude are probably, while they are east of the Chicago area, and that's where the configuration really is for light oil refineries that works best for the Bakken. So I think it's a combination of those things that gives us the confidence.
Operator: Your next question is coming from the line of Linda Ezergailis, TD Securities.
Linda Ezergailis - TD Securities Equity Research: Can you just confirm the duration of this Light Oil Market Access Program agreement? Does it expire with the current CTS and then would potentially be rolled in into a next-generation CTS? Or is there some sort of a longer duration?
J. Richard Bird: I'll take a stab at that. So the overall program has a lot of elements to it. Some on the common carrier pipes and some on standalone contracted pipes. So generally the contracted pipes, Southern Access Extension in Line 9 have contracts, which would be significantly longer than the duration of the CTS agreement. But with respect to the mainline components, the aspects of agreement that relate to that, the surcharges and so forth, would be for the term of the CTS agreement and along with the base mainline system that would be up for renegotiation in 2021.
Linda Ezergailis - TD Securities Equity Research: Okay. Just to follow up, the returns that you've provided helpfully on the slide are related to the Enbridge Inc. direct investment. Can you comment on the returns that you expect, and I guess at some point later tonight I can try to calculate it myself, but the returns that you would expect from the partnership's $3.4 billion investment and your share in that at the Enbridge Inc. level?
J. Richard Bird: Well, I guess a comment I could provide right off the cuff is if you go back to the Enbridge Day's piece that I went through on how our Sponsored Investments work and the power of the GP incentive, the returns that we would earn on through that GP incentive and in EEP would be very, very high because we're putting in virtually no capital, 2% of the capital, 2% [ph] of the equity capital for -- on the margin, 50% of the cash flow. So on a return basis, you get silly kinds of numbers. From an earnings uplift, you get a nice earnings uplift for very little capital deployment.
Operator: Your next question is coming from the line of David Noseworthy, CIBC.
David Noseworthy - CIBC World Markets Inc., Research Division: Just a quick question in respect to your terminal facilities, with Edmonton/Hardisty mainline expansion of $1.8 billion and the 0.6 with regards to your Light Oil Market Access, what portion of that is going to be spent at the Enbridge Inc. level?
J. Richard Bird: None. That's all Enbridge Inc. Actually, Enbridge Pipelines, but Enbridge Inc. for this purpose.
Operator: And at this time, we would like to invite members of the media to join the queue for questions. [Operator Instructions] Our next question is coming from the line of Winifred Freewolf [ph] of W. Freewolf Consulting [ph].
Unknown Attendee: A few years ago, Enbridge proposed to ship oil to the state of Maine and from there, to the U.S. East Coast and ultimately, Gulf Coast. Whatever happened to this project?
Al Monaco: That project is no longer on the books, Win. As we've said earlier, we don't have any plans to access the East Coast market through that project or any other way at this point through New Brunswick.
Unknown Attendee: What about the Gulf Coast market?
Al Monaco: I'm sorry?
Unknown Attendee: What about the Gulf Coast market, which was really the major market that Enbridge was targeting at the time?
Al Monaco: Right. Well what superseded everything, of course, is that we had a significant move into the Gulf Coast with our Flanigan South and Seaway projects, which effectively allow shippers in Western Canada to go all the way through into the Gulf while at the same time, seeing the optionality, the refineries on the way down. So that's really, I guess, what superseded everything.
Unknown Attendee: Okay. Have you an expansion of Seaway on your radar screen?
Al Monaco: Yes, we have -- well, if you mean an expansion to the base Seaway, yes, we have approved and are proceeding with the twin at Seaway.
Unknown Attendee: No, I mean another one beyond the twin?
Al Monaco: No.
Operator: Your next question is coming from the line of Scott Haggett, Reuters.
Scott Haggett: I just want to talk a bit about the light volumes you're seeing from Canada. You're saying 100,000 from Cardium and all. Are you factoring a no-synthetic growth or is that built into the other lines?
Stephen John Wuori: It's Steve, Scott. We're factoring a modest synthetic low growth. We know that there are some plans, but there aren't any new upgraders being proposed. But we're always watching that very closely to see if there's expansion of existing upgraders and so on. So there's a modest amount in our forecast of that. But most of what you see there, of course, is the actual through the drillbit drilling in the shale plays, such as the Cardium and the Viking.
Operator: As there are no further questions, I would now like to turn the call back to Jody Balko for any closing remarks.
Jody L. Balko: Thank you, Derick. We have nothing further to add at this time. But I'd remind you that Jonathan Gould and I always available for follow-up questions that you may have. Thank you, and have a good day.
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.